Operator: Thank you for standing by. My name is Jordan, and I will be your conference operator today. At this time, I would like to welcome everyone to the Utz Brands, Inc. Fourth Quarter and Full Year 2025 Earnings Call. All lines have been placed on mute to prevent any background noise. There will be a question-and-answer session, and if you would like to join during this time, please press star followed by the number one on your telephone keypad. If you would like to withdraw your question, press star one again. I will now turn the call over to Trevor Martin, Senior Vice President of Investor Relations. You may begin. Thank you, operator, and good morning, everyone. Thank you for joining us today for our live Q&A session of our fourth quarter and full year earnings results.
Trevor Martin: With me on today's call are Howard Friedman, CEO, and William J. Kelley, CFO. I hope everyone has had a chance to read our prepared remarks and the presentation, all of which are available on our Investor Relations website. Before we begin our Q&A session, I have a few administrative items to review. Please note that some of our comments today will contain forward-looking statements based on our current view of the business, and actual future results may differ materially. Please see our recent SEC filings, which identify the principal risks and uncertainties that could affect future performance. Today, we will discuss certain adjusted or non-GAAP financial measures, which are described in more detail in this morning's earnings materials. Reconciliations of non-GAAP financial measures and other associated disclosures are contained in our earnings materials posted on our website. Now, operator, we are ready to open the line for questions.
Operator: We will now open for questions. Your first question comes from the line of Andrew Lazar from Barclays. Your line is live.
Andrew Lazar: Great. Thanks so much. Good morning, everybody. Hey, Andrew. Good morning. Maybe I am sure you will get a number of questions along these lines, but I figure we will get this one kind of out of the way first. And I know, obviously, we have all heard a lot more detail recently from a large salty competitor on a more front-footed approach this year in the category, and based on either what you have seen in market or hearing from customers and such, what are you expecting? And how does all of this influence your guidance for the coming year in terms of needed investment spend and things of that nature?
Howard Friedman: Yes. Thanks for the question, Andrew. It is Howard. Look, I feel really good, and I have a lot of confidence in our commercial plan as we think about 2026. If you think about our building blocks of driving our geographic white space, continuing to enjoy distribution gains, investing in marketing and innovation, and competing in a rational promotional environment, I think it all spells to us as pretty consistent with what we have heard historically and what we have observed in the market. Our guided 200 to 300 basis points contemplates a flat category at the midpoint. It is 2.5, basically, 2 and 2.5 for the year. We think it is a prudent place to start and gives us the flexibility that we need to compete given the variety of unknowns that may be out there in front of us. But overall, our confidence in our plan and our conviction in what we believe this business can deliver in 2026 has not changed.
Andrew Lazar: And that is helpful. And then maybe even if we exclude the $4 to $6 million planned investment spend in 2026 for the California expansion, it still seems like maybe guidance would have been short of the originally expected 100 basis points of EBITDA margin expansion this year if I have done the math right. Hoping you could get into that a little bit—what things are driving that outcome.
William J. Kelley: Yes. Thanks, Andrew. It is B.K. At the midpoint of our guide, we are expecting about 40 to 50 basis points of margin expansion of EBITDA. I think, to your point, that accounts for the $46 million of California investment. And to Howard's point, the environment is dynamic, and we want to have some flexibility. So it is prudent for us to reflect in our midpoint of our guidance anticipation of things that we may have to overcome throughout the year. So nothing more than being a bit more flexible and having some capacity to handle any challenges that come our way.
Andrew Lazar: Got it. That is helpful. Then I am going to throw in just one real quick one. Just with 2026 being the final year of the initial three-year plan, how do we start to think about what type of organic top line and EBITDA growth could look like beyond 2026 on a more normalized basis? And maybe you are going to get into this more potentially next week in Florida. So if that is the case, we can wait till then, but I wanted to ask that and see what you are thinking.
Howard Friedman: Yes. Thanks for the question. To your point, we are looking forward to seeing everybody in Florida next week, and we will actually go quite a bit further into our commercial plans for the next three years. And I think what you will hear a lot from us is the commercial opportunity, while we have advanced it significantly over the last three years, largely remains intact. We still have a lot of geographic white space and top line to go get. We have the ability to fund that journey through margin expansion, through productivity, and other means. And probably the thing that is most additive to our thinking will be a little bit more around cash, which is, I think, the next leg as we are rotating off of the heavy investment cycle we are in. But we will get into quite a bit more of that next week when we see you all.
Andrew Lazar: See you there. Thank you.
Operator: Thank you. Your next question comes from the line of Peter Thomas Galbo from Bank of America. Your line is live.
Peter Thomas Galbo: Hey, good morning, guys. Thanks for taking the question. Hey, Howard, maybe to drill down a bit more on price reinvestment commentary both for yourselves and obviously from the largest player in the category. I was hoping to understand how you are thinking about the interaction for both Utz brand and ON THE BORDER, which seem like those would be the more competitive parts of the portfolio. Again, it is early days, but how you are thinking about the interplay of price cuts in those segments specifically and how it might impact those two brands?
Howard Friedman: Yes, I appreciate the question. Look, Pete, it is a couple of things. First, I feel very good about the investment that we have been making in revenue management capabilities over the last couple of years. I think we are much clearer on how the price ladder works across our entire portfolio. Obviously, those two brands are large and significant to us. As you are starting to see from us, we are starting to deploy some of those capabilities. I will remind everyone that, in 2025, we continued to focus on affordability, and through most of the year, the first three quarters, we had a one percentage point investment in price along the way. As we got out of the year, we had a little bit more positive price toward the end of the year. We would expect as you go into next year that we will continue to play our role in the category and be prudent in how we invest, but that we will be up and down the price ladder, and ultimately, I think we will maintain the gaps we need to. But I do think that you are going to see a more equal, a more positive contribution in both volume and price across the portfolio as we go into 2026 because of some of the differences in our commercial strategy this year.
Peter Thomas Galbo: Okay. That helps. Maybe just to piggyback on the question that Andrew had asked around EBITDA. If we take like-for-like, it is maybe a touch light. If I have done the math right on productivity, I think it is, like, $40 million COGS productivity number. It would imply—you know, I know there is the California investment—but it would imply that between inflation and reinvestment, there is a pretty material headwind. So maybe you could bucket between the reinvestment and the inflation numbers, just how you are thinking about those two within the gross margin cadence and ultimately the EBITDA guide?
William J. Kelley: Hey, guys. It is B.K. So, first of all, the productivity performance, we are very proud of that, and it has been very strong. Our first step with productivity, obviously, is to mitigate and manage through any inflation. We see abnormal inflation coming through, but there is a bit in some ingredients, some packaging, and a little labor for sure. We will continue to invest, as Howard said, but also, again, to the point and theme of being flexible and being prudent in our guide. We are going to make sure that we can manage through a variety of outcomes, no matter what could come our way. And given that perspective, that is how we come to the EBITDA guide that we have.
Andrew Lazar: Okay. Thanks very much.
Operator: Your next question comes from the line of Scott Michael Marks from Jefferies. Your line is live.
Scott Michael Marks: Hey. Good morning. Thanks for taking our questions. First thing I wanted to ask about—in the prepared remarks, you called out the SNAP disruption in early November, but it sounded like some of your core geography that Utz was in was hit maybe a little bit more than the category. I am wondering if you can shed some light on that and why that was the case.
Howard Friedman: Yes. Thanks for the question, Scott. A couple of things. As you look at the disruption that we had in November, SNAP and the government shutdown were the two that we called out. If you look at our geographic dispersion, the core of our core is in that Maryland, Virginia, Washington, D.C. area, which winds up being a little bit more disproportionately impacted just given the nature of the population there. That is what we were calling out specifically. That area is about 20% of our overall core sales, and that is what we passed through in the remarks.
Scott Michael Marks: Understood. Thanks for the clarity on that. In the prepared remarks, you also called out some dynamics for this year on the volume front. You called out in Q1 lapping the bonus bag. But then you also called out some innovations that you are expecting to launch with the protein pretzels and some of the new Boulder Canyon offerings. Can you help us understand, as we think about cadence throughout the year, when these innovations are coming to market and how we should think about some of the distribution wins because of that?
Howard Friedman: Yes. I will start and see if B.K. has any color to add. A couple of things. First, we feel really good about the distribution gains that we are expecting to see through the year. They typically start shelving in February and March, and, in fact, our California expansion—we start actually putting product on shelves in the coming weeks. We would expect to start to see some distribution gains, building through the back half of this quarter. Innovation starts coming in Q2. You will see a pretty consistent and deliberate rollout as innovation rolls and planograms reset. Then, similar to prior years, in the back half of Q1 into Q2, right around back-to-school, you will see a second visibility in terms of additional gains that we may see in the back half of the year, if that is still in front of us. I think you will find a pretty consistent volume year. Obviously, Q1 and into April on the lap on bonus bags will be a little bit anomalous. It is a three-point on price positive and a three-point negative on volume through Q1 and into April, which is kind of the reciprocal of what you saw last year. You put that together, it should help with the—
William J. Kelley: Yes, Howard. I think that is great. The only thing I would add, to your point, is as we get into Q2, we will start our California distribution, and we will have a little bit of volume there coming through as well.
Scott Michael Marks: Appreciate the color. We will pass it on. Thanks, Scott.
Operator: Your next question comes from the line of Michael Scott Lavery from Piper Sandler. Your line is live.
Michael Scott Lavery: Thank you. Good morning. A little bit more on the top line. Your midpoint—and it is a range, obviously—but you called out a flat category view. It was close to that, but slightly up. Do you expect a little deceleration, or is that just some conservatism? And then on the distribution piece, you have the white space geographically, especially, but can you also clarify if you are seeing pressure in existing stores or core markets? Can you gain there, or if you are losing any space, can you hold it? How should we think about the distribution side?
Howard Friedman: Yes. I will take the second question first, and then I will get into the category view. Look, we expect to have positive distribution gains in 2026. It is consistent with the last couple of years. It is not just in expansion markets and California, but also within our core as we are bringing innovation, and some of our power-three brands continue to gain distribution traction in our core markets. We would expect a positive distribution gain based on everything that we can see right now, and wins that we know we have that you will start to see materialize as we go into Q1 into California through the course of the year. I just lost your first question. I apologize.
Michael Scott Lavery: Oh, category.
Howard Friedman: Yes. Sorry. Look, over the last couple of years, obviously, much has been written about the category. I have always been bullish, and believe it is a great category to be in, and consumers want to be there. I think what you are seeing right now from a lot of category participants is a renewed commitment in trying to drive shoppers down the aisle through a combination of the things that have always made this category great, which is better brands, brand building, innovation, and a rational promotional environment, which is largely what we are seeing and largely what we continue to expect. We do believe that consumers will respond. In the fourth quarter of this year, we saw a positive category. Despite the storms, we saw positive category improvement, and it actually inflected positively, and then obviously in January further drove some tailwind. But I think it is a little premature to say that we expect the category to be positive in 2026. We are cautiously optimistic that all of the ingredients are there. But at this point, knowing what we know, we felt like a flat category was the most prudent call.
Michael Scott Lavery: That is very helpful. Great color. Just more of a housekeeping clarification. On the below the line, I understand that the newer PP&E would have higher D&A. But can you help us reconcile the $93 million to $97 million up to $113 million with the $37 million full-year figure in your gross profit bridge? It looks like the higher figure kind of aligns with the cash flow statement, but I want to make sure I understand how to translate that into the income statement side and the gross profit bridge, just to get those moving parts straight.
William J. Kelley: Yes. Maybe we can take that one offline as a general modeling question. I want to try to understand exactly what lines you are looking at there. I am not exactly certain, to the point. But just in terms of the pressure on EPS, I can come back to that point. As you noted, D&A does add about $0.08 to us year-on-year in terms of a drag, given the depreciation and amortization just quoted. I think that is the first time we have been so direct about that number. We want to give that transparency. As I said in the prepared remarks, that does go back to our historical view of what we saw in D&A. We have a little bit of a drag coming in on interest as well as we replace a swap in our risk management, and then there is about a penny on tax. We can come back to the specifics on which rows of depreciation you are focused on, the modeling questions, but that is the EPS year-on-year bridge.
Michael Scott Lavery: Okay. Thanks so much.
Operator: Your next question comes from the line of Robert Bain Moskow from TD Cowen. Your line is live.
Robert Bain Moskow: I wanted to ask B.K. about the leverage ratio target. Were you originally expecting leverage to be below three times by 2026? The guidance this year is 3.0 to 3.2. Did something change?
William J. Kelley: Rob, thanks for your question. To your point, in our guide, we quoted the leverage range of 3.0 to 3.2. No matter what numbers I focus on for leverage, I would have ranged them at some point. We finished at 3.4 in 2025, Robert, as you saw. We thought we did some really solid work from Q3 to Q4 last year, dropping from 3.9 to 3.4. We saw 3.4 as approaching the three times but probably a bit at the higher end of where you expected. So there is a little bit of a higher start there to begin with. But in the prepared remarks, we talked about that, over time, we think we will delever 0.3 to 0.4 times a year, and we also quoted a free cash flow goal of $100 million. Our long-term approach to get to 2.5 to 3.0 is still our goal. So nothing changed there other than we had a bit of a higher starting point given how we finished the end of the year with a little bit less EBITDA as well.
Robert Bain Moskow: Okay. And I wanted to ask a little more about affordability. Howard, you said that the category is doing the things that it always has done to generate growth. You talked about innovation and rational promotion. There is a lot of talk about how affordability needs to improve in order to really get volume to bounce back. But you said pricing is only down 1% in 2025. Why is that sufficient? Why is minus 1%—it is not just you, it is the whole category—why is that sufficient to improve the affordability equation?
Howard Friedman: Yes, Rob, I appreciate the question. First, if you look at our company through its history—long before me—affordability has always been part of who we are and how we compete. I think we offer an affordable indulgence. We hit the right price points from an opening price point all the way to a premium price point with Boulder Canyon. We have a price pack architecture that allows consumers to opt in depending on where they are. If you look at our pricing evolution over time, even if you went back to inflation, we took our last price advance in 2022 and had not changed our pricing from there. So I feel like we have maintained a pretty good price position in the marketplace. I do think that consumers, as they are looking for affordability and value, it depends on an individual's expectations. We do think that the competitive environment is rational based on what we saw in Q4 and what we have seen at least early into 2026. Price has always been just a piece of the equation. Consumers will pay what they deem a fair price for the innovation and for the products that they love, and when that equation gets out of whack, then it becomes a little bit of a problem. But where we are today and where I think the category is headed is a good step to move consumers back into the category and walking down the aisle, and ultimately should yield results. It is how we have thought about our terms of competition for the last several years.
Robert Bain Moskow: Okay. Great. Thank you for that.
Operator: Your next question comes from the line of James Ronald Salera from Stephens Inc. Your line is live.
James Ronald Salera: Howard, B.K., good morning. Thanks for taking my question. Hey, Jeff. I wanted to ask a little bit around the progression in both households and buy ranges as we think about, against the flat category. That implies that your growth is going to come from either expanding households in markets where you do not have them, or capturing households in markets where you already have decent penetration. Can you walk us through the growth drivers there and how we should think about the mix of expanding in California and the expansion markets—the household there—versus some incremental placements for Boulder and picking up new households in the core market?
Howard Friedman: Yes. I want to make sure I understand the question. If you are asking contribution in terms of how we think about distribution versus marketing support versus something else helping to support our top line?
James Ronald Salera: Is that—
Operator: Yes. That is correct.
Howard Friedman: Yes. Look, there are a couple of things. If you look at our expansion geographies, they are 45% of our business and growing significantly above both our business and the category. We would expect to continue to see that type of outperformance as we go forward. If you look at Florida or Illinois or Missouri, you see some of the markets where we have entered and have been there for several years still growing at a nice 5% to 8% top line growth. That is a combination of distribution gains as well as continued marketing support. California is a largely untapped market for us. We are at 1.9 share today, and we will be setting shelves and moving into that market very shortly, which we would expect to contribute top-line sales as well as incremental households. When you look at our household acquisition and the loyalty that we see, our repeat rates are very strong. When we get into a home, consumers tend to repeat at pretty high levels. We would expect that the distribution gains in California will be a significant driver, as well as we still have a significant amount of white space through the middle of the country and even in our core markets with some of our power brands. You are also going to see consumer acquisition driven by both protein and the Boulder Canyon tallow offering that we will be coming out with, which are incremental occasions and incremental items to our assortment. We also believe they will drive new trial of different users. Then our advertising and consumer spend will be up, similar on a percentage basis to what we did this year, and we are very happy with how consumers have responded to the marketing both in-store and in social and digital to drive trial in our business. I still think you are going to see a distribution-led story in terms of how we grow, and then it is reinforced and built further by the innovation and marketing spend that we have.
James Ronald Salera: Great. And then if I can ask a follow-up on some of the innovation. I think we have seen across the industry more focus on healthy oils. Beef tallow is a first. I am excited to try that when that hits shelves. But all of these ingredients, I imagine, are significantly higher cost than vegetable oil, but also on the back of a premium product. Could you give us an idea of how that impacts the mix as we see a brand like Boulder taking more and more position in the portfolio? And is there any supply limit that we should think about on things like beef tallow, avocado oil, olive oil—these kinds of alternative oils that are outside the traditional vegetable oil market, which is obviously much larger?
Howard Friedman: Yes. I will start, and then if B.K. has color to add on top. In terms of supply, we have been investing in integrated business planning capabilities to really understand our volume expectations. We have also spent a lot of time collaborating with our customer base to make sure we know what they are interested in and what they are seeing in the market. From a supply perspective, we feel very good with the availability that we have, and our ingredient suppliers and our oil suppliers have been tremendous partners as Boulder has really jumped significantly over the last couple of years. We do not anticipate a problem in terms of availability of the oils or any of the other ingredients that we would be pursuing. It is standard work for us. I am proud of our teams and what they are able to do. In terms of how we think about the margin mix and the contribution of innovation to our overall portfolio, our expectation when we launch a new item is that it is margin accretive. The value that we are offering to a consumer—there is a propensity to be willing to pay for those premium ingredients, whether it is protein in the Utz pretzels and puffs, or the beef tallow for Boulder Canyon, or avocado oil, or anything else that we do. We would anticipate it being a net positive on the margin line. On the higher-priced items, as they grow more, you will also see a positive price benefit to the P&L. B.K., do you have anything else to offer?
William J. Kelley: No. I think that is well said, Howard. Thanks.
James Ronald Salera: Great. I appreciate the color, guys. I will hop back. Thank you.
Howard Friedman: Thanks, Jim.
Operator: Your next question comes from the line of Peter K. Grom from UBS. Your line is live.
Peter K. Grom: Great. Thank you. Good morning, everyone. I wanted to ask about the organic sales outlook, and I understand you mentioned in the prepared remarks you are trying to be conservative. But as I take a step back, you just delivered 2.4% growth this year. The category was down 50 basis points, and there was a headwind related to the non-branded, non-salty parts of the portfolio. As I look out to next year, you are expecting a better category backdrop—albeit maybe not growth. It sounds like there is going to be less of a headwind from non-branded, non-salty. You are getting a benefit from California. Yet the guidance at the midpoint is similar to what you just delivered. Is there something happening beneath the surface as to why it would not be stronger, or are you simply taking a conservative approach to start the year?
Howard Friedman: Yes. I appreciate the question. First and foremost, I want to reiterate that we feel very good about our commercial plans. We think we have a strong lineup, and I feel like we are gaining the response from consumers in the marketplace. That said, it is February, and the environment is going to continue to be dynamic, and we are trying to make sure that we are prepared for a variety of outcomes. If you were to think about our business over the last couple of years, making sure that we are prepared with appropriate contingencies to deliver against our promises continues to be an area of focus for us. I want to make sure that as we are starting out in February, we are giving ourselves the appropriate framing so that we are prepared for a variety of outcomes and we have the flexibility to respond as we need to.
Peter K. Grom: Got it. That makes sense. And then just to follow up on the commentary around distribution and shelf space specifically. A large competitor talked about growing space in the double-digit range with the upcoming resets. Howard, I think you mentioned you still expect to gain space through innovation in core markets. Can you help us understand what is happening around shelf space with the upcoming resets?
Howard Friedman: Yes. We have been working with our retailers over the last couple of years, and we have enjoyed great partnerships where we have been able to not only get entry into some new banners and new geographies, but once we get in, we see an expansion in the average items that are carried in those stores. You saw that play out in Florida. You saw that play out in Missouri. You have seen it consistently over the course of our history. We get in with a reasonable assortment, and then we build from there. There are a lot of geographies where we are in that build-from-there step. We have good visibility to what we expect to gain in terms of both our core markets and our core brands as well as, more significantly, our expansion geographies as we continue to fully develop the channels in those markets. I expect we will see positive distribution gains for us in the beginning of the year. You will see that, and we can talk a lot more about it when we get to the end of Q1, where we get into that normal distribution cycle. Overall, we feel really good about where our distribution driver is for the year and anticipate another strong year of growth.
Peter K. Grom: Great. Thank you so much. I will pass it on.
Trevor Martin: Thanks, Pete.
Operator: Your next question comes from the line of Nik Modi from RBC. Your line is live.
Nik Modi: Thank you. Good morning, everyone. On your comment about the dynamic consumer environment, it strikes me that as we started the year things actually got worse, and then we had that winter storm that might have helped some pantry loading. With the guide, there are a lot of questions about whether you are being conservative or not. Can you give us your 50,000-foot view on what you are seeing? There are so many moving pieces—tax refunds are coming, but for higher-income consumers, and then the ICE situation is still causing some traffic issues up and down the street retailers. If you could give us your quick take on that. It seems like some of the headlines are that the middle-income consumer is now coming under increasing duress versus just being a lower-income consumer issue a year ago. Any thoughts on that would be helpful. And the bigger-picture question is on portfolio construction. Things are shifting in the food landscape—focus on protein, also fiber. As you think about the portfolio longer term, and maybe you will address this at CAGNY—so forgive me if I am jumping the gun—what are your thoughts on how you think about the portfolio longer term in terms of some of these emerging areas of growth?
Howard Friedman: Yes. I will start with the consumer, then I will give you a portfolio thought. We can talk more about it. I do feel really good about our brand lineup and its ability to stretch, which we will talk about. A couple of things on the consumer, and I want to start where I typically start in these conversations. The nice thing about our business—and the thing that I think we are most excited about—is that we have growth drivers that are not solely dependent on a market or a state or a geography. There is a lot of white space in our commercial operating plans that gives us the opportunity to overcome some of the headwinds that some of our more mature competitors may not be able to do as simply or easily. If you think about geographic white space and the investments that we are doing in marketing and an innovation lineup that is ramping and becoming bigger ideas and more on-trend consumer thoughts, all of those things help us to overcome some of the consumer dynamics that you see in the marketplace. If we were fully developed, we would have to have a different response. We feel good that the underlying consumer situation is something that we are paying attention to, but it is not going to override the ability for us to grow. If you look at where the consumer is right now, we continue to see them shopping up and down the ladder and looking for value. You talked about the storms, and that certainly drove some pantry loading, but the category was improving before then. The consumer trends in the fourth quarter transitioning into the first quarter—many of those things have persisted, and we would expect that to be an environment where we need to be flexible as we go. We have offerings up and down the price ladder, from premium to opening price points. We have brands and packages that allow for the consumer to enter into our portfolio. We will do our job to make sure that consumers stay there and engage. Our marketing spend will also help. In terms of the portfolio, when you think about protein and fiber and flavors and portion control, a lot of those behaviors are transcendent. They have been in the industry for a very long time. If you look at our powerful brands, we identify them as our growth drivers because of their ability to meet the near-term consumer need and to expand and stretch into other occasions. You see us expanding into protein this year—8 to 10 grams of protein for the puffs and pretzels. It will be at an affordable price point that makes sense for that consumer and allows us to get into a fast-growing segment for consumers who are looking for it. As you think about Boulder Canyon, not only has it been able to stretch into incremental non-seed oil, but also into subcategories. I feel like we have the right portfolio, and we have a few gems in the rest of our targeted branded portfolio that have opportunities to grow as well—brands like Hawaiian. Our portfolio is strong, and our ability to engage with consumers is there. Expect that you will see more of that as we get into CAGNY.
Nik Modi: Super helpful. Can you comment on whether you are still seeing some depressed activity in some of the up-and-down-the-street retailers because of the immigration issues and ICE raids and things like that?
Howard Friedman: What we saw in the fourth quarter was that our up-and-down-the-street business was improving and certainly C-store was getting better, which are the places where we would look. January with the snowstorms makes it a little bit harder for us to see, given what happens when everybody stays home. As we look at our business, given that we do tend to over-index to the larger classes of trade, it is a little bit harder for us to see a lot of noise there.
Nik Modi: Got it. Thanks so much.
Operator: Thank you. Your final question comes from the line of John Joseph Baumgartner from Mizuho Securities. Your line is live.
John Joseph Baumgartner: Good morning. Thanks for the question. Hey, John. I would like to ask about some of the incremental consumption occasions, as a number of your snacking peers are ramping their presence during events and seasons to augment the weakness in the everyday business. Howard, you seem comfortable with distribution and shelf presence this year. But can you speak a bit to that competitive programming noise? The increased activity—does it require you to invest more in marketing or pricing? Does it require a different approach to innovation? How do you rise above or at least capture your fair share in that heightened programming environment?
Howard Friedman: Yes. I appreciate the question. There are a couple of things. I am very pleased with what our marketers have been able to do over the last few years in terms of seasons, whether it is variety packs at Halloween on Utz or our Hoops Mix right now. We have always had a pretty strong lineup of limited-time offers. It is something that we are very proud of, and several of them have been rotated into our core assortment—things like Mike's Hot Honey. We have a pretty good lineup. We tend to pick our spots. We are not going to engage in every season where we do not feel like we have something to say or something meaningful to offer. We pick our spots, and we will continue to do that. I do not think it requires a different marketing or promotional strategy per se. What it requires is for us to continue to make sure that our products are present in those occasions at the right price points, at the right points of disruption in the store, which our IO partners do a great job of. We will invest there where we feel like we should, but the heightened environment drives more consumer interest into the category over those occasions, and we would expect that we would get our fair share of that activity as well.
John Joseph Baumgartner: Thanks, Howard.
Howard Friedman: Thanks, John.
Operator: That concludes today’s question-and-answer session. Thank you for joining today’s conference call. You may disconnect.